Operator: Greetings, welcome to the United Insurance Holdings Corp. Third Quarter 2022 Financial Results Conference Call and Webcast. At this time, all participants are in listen-only mode. Please note, conference is being recorded. It's now my pleasure to turn the call over to Karin Daly, Vice President with the Equity Group. Please go ahead, Karin.
Karin Daly: Thank you, Kevin, and good afternoon, everyone. UPC Insurance has also made this broadcast available on its website at www.upcinsurance.com. A replay will be available for approximately 30 days following the call. Additionally, you can find copies of UPC's earnings release and presentation in the Investors section of the company's website. Speaking today will be Chairman of the Board and Chief Executive Officer, R. Daniel Peed; and President and Chief Financial Officer, Bennett Bradford Martz. On behalf of the company, I'd like to note that statements made during this call that are not historical facts are forward-looking statements. The company believes these statements are based on reasonable estimates, assumptions and plans. However, if the estimates, assumptions or plans underlying the forward-looking statements prove inaccurate or if other risks or uncertainties arise, actual results could differ materially from those expressed in or implied by the forward-looking statements. Factors that could cause actual results to vary materially may be found in our filings with the US Securities and Exchange Commission in the Risk Factors section of our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q. Forward-looking statements speak only as of the date on which they are made, and except as required by applicable law, we undertake no obligation to update or revise any forward-looking statements. With that, it's my pleasure to turn the call over to Mr. Daniel Peed. Dan?
Daniel Peed: Thanks Karin. Hello, and thanks for joining us on our third quarter earnings call. I'm Dan Peed, Chairman and CEO of UPC Insurance. I'm planning to offer an overview of some of our activities and then Brad Martz will provide for more specific numbers. Results in the third quarter continue to highlight the performance difference between our personal lines and commercial lines businesses. Please see page five of our investor supplements for more information. Personal lines was disappointing with a core loss of $69.8 million. Key factors include the loss of the UPC Insurance Company's financial stability rating issued by Demotech and the downgrade of UPC Insurance Company's Kroll rating. These impact our renewal retention levels and therefore, gross written premium and grow starting premium. Another significant factor was our increased reinsurance spend coming out of our 61 cat placement, which therefore increases seeded on premium and decreases net earned premium faster than the exposures are decreasing. While current accident year non-cat losses are down, the decrease in earned premium outpaces the decrease in losses driving the poor result. This is compounded by significant strengthening of our prior year reserves reflecting an increased claims severity driven by inflation and the excessive Florida litigation on prior year losses. These results have driven the write-down of our DTA, large valuation allowance in the second quarter and in the third quarter, we wrote down approximately $13.6 million with goodwill against our personal lines operations. In personal lines, we continue to downsize the portfolio with total policies in force down about 36% since the beginning of 2022, and total return values down 34.6%. We also continue to drive rate with an average of 20.4% rate increase and an average 35% rate lift when combining rate plus increased insurance to value. In commercial lines written in American Coastal Insurance Company, our business continues to grow with net premium earned larger than the personal lines net earned premium $59.5 million. Results are strong with a profit for the third quarter despite Hurricane Ian losses. Core income of $1.8 million for the third quarter and $32 million year-to-date demonstrate the earnings power of the commercial lines book. The underlying combined ratio was 57.6% for the quarter and 66.1% year-to-date. In anticipation of increasing our cat reinsurance costs. We are achieving strong rate increases averaging over 30% and 3Q, improving insurance to value, improving terms, and reducing P&L exposure. We also experienced favorable prior year development of $1.8 million in the third quarter and $5.5 million year-to-date for our commercial lives business. Given the loss of the Demotech Financial Stability Rating and UPC Insurance Company, and the very different outcomes between our personal lines and commercial lines businesses, in the third quarter, we decided to put our core personal lines businesses into runoff. To accomplish this, we filed plans of withdrawal in Florida, Texas, and Louisiana. These plans have been approved by the regulators in each state and will generally result in non-renewals of personal lines policies beginning as early as November 1st in Texas, and as late as January 1st, 2023 in Florida and Louisiana. In New York, we are continuing to non-renew in UPC and offer renewals and Interborough Insurance Company. Interborough and American Coastal both retaining physically financial strength ratings and both Kroll and Demotech. As previously announced, we continue to evaluate integral options to divest from all personal loans. In summary, our third quarter reflected lots of change. we continue to de risk the personal lines portfolio, which drives a headwind of decrease in net earned premium. A disappointing core loss for the quarter is due to poor performance in our personal lines business reflecting loss of UPC Insurance Company's financial stability ratings, increased reinsurance spend, significant prior year development, and a write off of goodwill in our personal lines company. Our commercial lines business continues to perform well with a profit in the quarter despite one of the worst hurricanes to hit Florida in recent history. We expect the Florida market to remain hard for the foreseeable future, due to a skeptical and hard capital and reinsurance market, recently elevated catastrophe activity and continued headwinds created by excessive Florida litigation levels. With that, I'll turn it over to Brad Martz.
Bennett Martz: Thank you, Dan. And hello, this is Brad marks the President and CFO of UPC insurance. I'm pleased to review UPCS financial results, but also encourage everyone to review our press release, investor presentation, and Form 10-Q for more information regarding the company's performance. Highlights for the quarter ending September 30th, 2022 included a GAAP net loss of $70.9 million or $1.65 a share compared to a net loss of $14.3 million or $0.33 a share last year. Our core loss of $57.5 million or $1.34 a share compared to a core loss of $15.5 million or $0.36 a share a year ago. On page four of our investor presentation highlights that our core loss included $37.4 million of net retained cat losses in the current accident year and $44.6 million of prior year reserve development.  Our cat losses were driven by Hurricane Ian, which included a $16.4 million net retention by American Coastal and United Property & Casualty plus a $20.1 million loss incurred by our captive EPC REIT.  The additional retention by our captive was due to UPC REIT replacing one reinsure on a $25 million excess of $20 million layer of the core cat program, who elected determinate their participation upon UPC's downgrade by Demotech during the third quarter. The $20.1 million retained loss excludes the return on reinsurance premium of roughly $15 million, so the net economic impact between losses and seeded premiums was around $5 million related to the captive's participation. Prior year reserved development of $44.6 million resulted from a reallocation of IBNR from current accident year to prior accident years in our personal line segment. Higher loss severity continued to cause older accent ears to perform worse than expected, but our outlook for the current accident your loss ratio improved during the quarter. As Dan mentioned, commercial lines actually had favorable development in the current period. Gross premiums written for the quarter of $255.2 million declined $67.3 million or approximately 21%. And gross premiums earned of $301.9 million decreased about 15%. Pages nine through 11 of our investor presentation continue to demonstrate that we're getting significantly more rate in both personal lines and commercial lines relative to our exposure base. Seeded earned premiums were $185.7 million comparing favorably to $200.2 million last year, due to our lower exposure base and the reduction of our quota share sessions session rates from 23% to 18% at June 1st. Other items included in total revenues during the current quarter were net investment income of $4.3 million, which increased approximately 23% due to higher yields and net unrealized losses from equity securities of $2.5 million which were about $775,000 lower than the prior year. UPC's third quarter net loss and loss adjustment expense was $117.2 million, an increase of $14.5 million or 14% year-over-year. The current accident year catastrophe losses added over 32 points to our net loss and combined ratios. With the impact of prior year reserve development adding 38 points on the same ratios. Our underlying loss and LAE was $35.2 million, down $28.6 million or 45% year over year, due in large part to the reallocation of IBNR to prior accident years. This produced an underlying net loss ratio of 30.3%, which improved over 11 points compared to the third quarter last year. Page five of our investor presentation summarizes our results by line of business and as Dan mentioned, continues to show profitable results for commercial lines inclusive of the significant loss related to Hurricane Ian, and is exactly why we're determined to focus exclusively on the segment going forward. Page six of our investor presentation highlights the impact Hurricane Ian had on our core catastrophe reinsurance program. Here you will see red dotted lines showing where Hurricane Ian is estimated to be in the Florida hurricane catastrophe funds specific to each American Coastal and United Property & Casualty, as well as the utilization of private open market limit shared by and allocated to American Coastal and United P&C. Our personal lines loss is estimated near the top of the United P&Cs program, leaving only $63.4 million of limit from the Florida hurricane catastrophe fund. And about 9.3 million from private reinsurers remaining. Our commercial lines loss is much lower and we estimate American Coastal has approximately $818 million of limit remaining. After reinstatement premiums of $15.4 million, we have approximately $1.4 billion of aggregate limit remaining after Hurricane Ian, but the majority of that protection is specific to American Coastal's Florida Hurricane Catastrophe Fund. Given our  participation on the underlying $25 million in excess of $20 million layer, our expected retention now from a second event is estimated at $31.8 million for the group. Hurricane Ian created new uncertainty related to the viability of our previously announced runoff plan for United Property & Casualty and is clearly a significant risk factor going forward. Management continues to work closely with its regulators and monitor developments, as well as adjust our runoff plan as needed or required. UPC's operating expenses were $75 million, a decrease of $1.3 million or 2% year over year. This decline was driven mainly by lower acquisition costs from agent commission reductions in our personal and business. However, this was offset in the G&A expense line due to the amortization of the $13.6 million goodwill charge related to impairment of goodwill on our personal lines segment. Page seven of our investor presentation includes balance sheet highlights to help reconcile some of the significant changes this period. GAAP equity attributable to UHC stockholders declined to $80.4 million with a book value per share of $1.86. Rising interest rates led to valuation declines in our fixed income portfolio and this combined with unrealized losses drove accumulated other comprehensive loss of $60. -- $64.8 million, which impacted the value per share by approximately $1.50 per share. And finally, statutory policyholder surplus for the group at the end of the third quarter is currently estimated to be approximately $170 million. That concludes our prepared remarks. We thank you for your continued interest in UPC and that concludes today's call.
End of Q&A: Thank you. That does conclude our call. You may disconnect your lines at this time and thank you again for your participation.